Operator: Good afternoon. Thank you for attending GCT Semiconductor Holdings, Inc.'s Fourth Quarter and Full-Year 2024 Financial Results Call. All line will be muted during the presentation portion of the call with the opportunity for questions-and-answers at the end. Joining the call today are John Schlaefer, GCT's Chief Executive Officer; and Edmond Cheng, CFO, to discuss our fourth quarter and full year results. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-K that will be filed today, which provides further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statements. I will now turn the call over to John Schlaefer. Sir, you may begin.
John Schlaefer: Thank you, and thanks to everyone for joining us today for our fourth quarter and full year 2024 earnings call. In my remarks, I will provide a quick summary of our Q4 financial statements and Edmond, our CFO, will provide details for our full-year 2024 financial disclosure. But mainly, and despite reviewing 2024 financials today, we are mostly focused on what will impact our financial goals going forward, and would encourage investors to do so as well. While our 2024 financials were shaped by transitional 4G sales and 5G service revenues, which we expect to remain as revenue sources, we expect the second half of 2025 and onward to be strongly shaped by 5G chipset sales. We think of this as almost a binary event for the company. Anyway, more about that in just a minute. Let's begin first with Q4 financials. As mentioned before in our last update, the fourth quarter was another transitional quarter for us, on the way to commercial rollout of our 5G chipsets. With that as a background, our net revenues were $1.8 million which contributes to a gross margin of 32.3%. While our total operating expenses were $7.9 million, we are happy to report that we were able to reduce our net loss to $5 million, which is a 51% reduction, compared to Q4 2023. We are very pleased with this as we strive to position GCT for profitable growth in the future, coupled with the expectation of the upcoming 5G sales ramp, which brings me finally to the most exciting part, 5G. We are happy to report that we are now at the one-yard line, when it comes to the sampling of our 5G chipsets. To celebrate this upcoming milestone, we've introduced the 2025 GCT Year of 5G Program to streamline and focus our efforts on development and mass production of 5G chipsets. Under the program, we will not only commence the availability of the chipset within the first half of 2025 as previously guided, but also take action to accelerate the ongoing announced and unannounced programs with world renowned partners. Globalstar, European Tier 1 telco supplier, Aramco Digital, Samsung and Kyocera to list just a few of the household names that we have previously disclosed. And with 5G use cases and overall market volume now significantly higher than that of 4G and chipset prices at several times that of 4G, it is easy to see why the launch of our 5G chipset will be transformative for the company and even the industry as we hear from our valued research analysts. We are now doubling down on our efforts in 2025, as we will finally be in the position to benefit from the ever-growing demand for high-speed ubiquitous wireless data communications with the upcoming release and shipment of our 5G chipsets. Additionally, under the program, and as mentioned earlier, we plan to further align the company's balance sheet with the expected upcoming ramp in sales. Already now, we have made progress in the reduction of debt and extending debt maturities. Edmond will have more to say about that in a minute. But before I turn the microphone over to him, I will want to stress again how pivotal this moment is for us here at GCT. Once the 5G chipset is available and finds its way into our customers' products, we expect to have a very different conversation in our future earnings calls. And with that, Edmond?
Edmond Cheng: Thank you, John. As John said, we have been managing our capital allocation and cash growth tightly, with priorities given to funding the development of the 5G chipset and further strengthening our balance sheet. We managed to reduce our debt by close to 50% during 2024. With that, position us better for our future profitable growth. We also remain in advanced discussions with potential investors to fill some of our near-term capital funding needs, that aim at supporting us to bridge to the second-half of the year. Lastly, when comparing to our full year-results, please keep in mind that some of the line items are influenced by our status now as a public company versus previously when we were a private company. Turning now to our full-year 2024 financial results. Further details can be found in the 10-K that will be on file with the SEC. Net revenues decreased by $6.9 million or 43% from $16 million for the year ended December 31, 2023, to $9.1 million for the year ended December 31, 2024. The decrease was due to a decrease of $6.2 million in product sales and a slightly decrease of $0.7 million in service revenue. The decrease in product sales was primarily driven by a reduction of $5 million of LTE product sales and a decrease of $1.2 million in LTE platform sales, as we transition to 5G. Again, when modeling our expected upcoming 5G revenue, we will be benefited drastically in higher 5G chipset market prices. Cost of net revenues decreased by $5.2 million, or 56% from $9.3 million for the year ended December 31, 2023 to $4.1 million for the year ended December 31, 2024, driven primarily by the reduction of our product sales. Our gross margin increased to 56% for the year ended December 31, 2024, compared to 42% for the year ended December 31, 2023, primarily due to changes in the product and revenue offering mix. Specifically, we increased the share of reference platform sales and generated higher margins from our service offerings, during the year ended December 31, 2024. In addition, these reference platform sales will help our customers accelerate the integration and adoption of our 5G chips in their respective product development activities, once our 5G chips are launched. Research and development expenses increased by $6.6 million or 62% from $10.7 million for the year ended December 31, 2023 to $17.3 million for the year ended December 31, 2024, primarily in connection with our development projects. This increase reflects our increased 5G development program activity during 2024 and was primarily due to a $4.1 million increase in research and development expenses mainly related to professional services provided by Alpha, related to the design of 5G chip products, a [$0.2 million] (ph) increase in development expenses related to our new 5G chip products, a $0.5 million increase in stock-based compensation expense due to issuance and vesting of share-based awards, and a $0.4 million increase in allocated overhead, partially offset by a $0.2 million decrease in preproduction costs and a $0.2 million reduction in support and maintenance. Sales and marketing expenses increased by $0.7 million, or 23% from $3.2 million for the year ended December 31, 2023 to $3.9 million for the year ended December 31, 2024. This change was primarily due to a $0.2 million increase in temporary services and a $0.1 million increase in personnel-related cost, allocations, travel and stock-based compensation. General and administrative expenses increased by $3.4 million or 46% from $7.4 million for the year ended December 31, 2023 to $10.8 million for the year ended December 31, 2024. The change was primarily due to a $2 million increase in stock-based compensation related to the issuance and vesting of stock-based awards, a $0.9 million increase in professional expenses related to the public company operations, a $0.7 million increase in temporary services and a $0.5 million increase in personnel costs, partially offset by a $0.5 million decrease in allocation and a $0.4 million decrease in other expenses. We've closed the year with cash and cash equivalents of $1.4 million. We also had net accounts receivable of $5.7 million and net inventory of $3 million, which we expect to sell in the coming quarters. In 2024, we managed to reduce our debt from $79.9 million at the beginning of the year to $42.6 million at the end of 2024. With the support of our creditors, we are able to roll over the remaining debt from 2024 to 2025, which helps to align maturity date better with our expected ramp of sales in 5G chipsets. In addition to the current ELOC with B. Riley and to further strengthen our financial position, we are in advanced discussion with potential investors to fill some of our near-term capital funding needs that will help us to bridge to the second half of the year. With this, I will turn it back over to John.
John Schlaefer: Thanks, Edmond. In closing, we are thrilled about what is ahead of us. With the announcement of our 2025 GCT Year of 5G Program, we are putting the product, customer and financial building blocks in place for substantial growth based on our 5G chipset launch, and are excited about the impact of that for the company and for our stock, as we value all of our shareholders. Finally, I would like to thank our employees, partners and our customers for their continued efforts and dedication to the company which ultimately drives our success as an organization. Together, we're focused on driving innovation, supporting the global transition to 5G solutions and delivering strong profitable growth. We are entering a new phase here at GCT and are thrilled to have you with us. I will now turn the call back over to the operator, who will assist us in taking your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Craig Ellis with B. Riley Securities. Your line is open.
Craig Ellis: Yes, thanks for taking the question, guys. I just want to start with a clarification on the fourth quarter of '24 before talking about 5G's potential in 2025. Edmond, can you help us with a breakout even if more qualitative than quantitative on product revenues, products versus platform sales, given the strength of platform sales in the prior quarter? And then any indication on the mix of services in that quarter?
Edmond Cheng: Yes, Craig, in Q4, we do not have any platform sales. So all the $660,000 in revenue for products, primarily coming from our chip sales in our 4G LTE chips.
Craig Ellis: Got it. And then, guys, looking ahead to 2025, you talked about your enthusiasm for 5G's ramp. I would love to get more color on how you see things playing out? You've got a big partnership with Aramco Digital. Do you expect that to contribute? And what does that ramp sign wave look like? And then you announced other partnerships, Kyocera, Globalstar, how do we think about the potential contribution from those partnerships or other partnerships that you may be unable to press release at this time?
John Schlaefer: Yes. Thanks for the question, Craig. So we have a number of Alpha customers that we've been working with. So we will be supporting them and you've named them already. In the Aramco situation, it's a little further out as they're working on their infrastructure right now. So we would expect that to be probably more of a 2026 thing for 5G. But in the 2025 timeframe, it will be the partners that we've already talked about initially, launching FWA products and mobile hotspot as well as the conversion of existing or actually previous 4G customers also converting to 5G and continuing with their product launches.
Craig Ellis: Got it. And then, John, one more for you before I switch to Edmond with a follow-up on the Aramco Digital related ramp point. I think you've said in the past that you'd expect 4G revenues to persist for numerous years as 5G ramps. And what are the messages today is that we're going to be doubling down on our 5G ramp. The question, do you still have that same multiyear long-tailed 4G revenue ramp expectation? And if so, how do we expect that contour to look this year?
John Schlaefer: Yes. So we do expect 4G will continue. And like we've said before, it's really not a large contributor to our growth, but it will be steady revenue source for us through 2025 and 2026. And I think as we've pointed out before, we have one additional product that we'll be launching, that is the 7243SL that will be supporting industrial application, a satellite application. I think we had an announcement with Globalstar in the last quarter. So that product has a lot of interest for satellite applications. And so we'll continue to see our legacy 4G products as well as that new 4G products into the 2026 and beyond.
Craig Ellis: Thank you. And so clearly, not only do you have 5G product momentum going, but you remain active with 4G. Edmond, I'll switch it over to you. So, very good progress on cash burn in the quarter down to $5 million. The question is, as you look ahead, and I know you don't provide quantitative guidance for the first quarter, but can you provide some color on how you'd expect cash burn to perform? And if there was any other color on other dynamics in the first quarter? Even if qualitative, that would be helpful.
Edmond Cheng: Yes. And very good question, Craig. If you look into Q4 versus our Q3 year-to-date last year, you can tell that in Q4, we managed our cash burn really, really, I would say, tightly, from that sense. And primarily focusing on allocating resources to the 5G chip development and also focusing on our debt repayment from that sense. If you're looking at Q4, just for the quarter alone, you're looking at the changes in operating assets and liabilities and including the operating activities, there is a net cash burn for the quarter about $2.3 million. So we expect this to be continued in maybe very similar level in Q1 this year and until probably Q2 where we see a slight shipment of samples of our 5G chip and we can see the ramp-up in second half of 2025 this year.
Craig Ellis: Got it. And then the question that's more longer term, I think we've always looked at the potential for the company to be adjusted EBITDA breakeven at around $25 million in sales. Given the progress you're making on cash burn, is that still the right number? Or you structurally lowered that number? And given the business potential to get to an adjusted EBITDA positive number at something lower than mid-$20s million revenue?
Edmond Cheng: That would still be the number that we are modeling at this point of time, especially with the gross margin target that we are looking at, it seems to be -- that remains to be the same.
Craig Ellis: Got it, thanks for the help guys.
Operator: Thank you. [Operator Instructions] I'm showing no further questions in queue. Thank you for joining us, and that concludes our fourth quarter and full-year 2024 Conference Call. A replay will be available for a limited time on our website later today. You may now disconnect.